Operator: Good day everyone and welcome everyone to the Verisk Analytics’ Second Quarter 2012 Earnings Results Conference Call. This call is being recorded. At this time for opening remarks and introductions, I would now like to turn the call over to Verisk Treasurer and Head of Investors Relations, Ms. Eva Huston. Ms. Huston, please go ahead.
Eva Huston: Thank you, Amber, and good morning to everyone. We apologize for the slight technical delay we had at the starting here. We appreciate you joining us today for the discussion of our second quarter 2012 financial results. With me on the call this morning are Frank Coyne, Chairman and Chief Executive Officer; Scott Stephenson, President and Chief Operating Officer; and Mark Anquillare, Chief Financial Officer. Following some comments by Frank, Scott, and Mark highlighting some key points about our strategic priorities and financial performance, we’ll open the call up for your question. The earnings release referenced on this call as well as the associated 10-Q can be found in the Investor section of our website verisk.com. The earnings release has also been attached to an 8-K that we have furnished to the SEC. A replay of this call will be posted on our website and available by dial-in for 30 days until September 1, 2012. Finally, as set forth in more detail in today’s earnings release, I will remind everyone that today’s call may include forward-looking statements about Verisk’s future performance. Actual performance could differ materially from what is suggested by our comments today. And information about the factors that could affect future performance is summarized at the end of our press release as well as contained in our recent SEC filings. And with that, I will now turn the call over to Frank Coyne.
Frank Coyne: Thank you, Eva, and good morning. In second quarter 2012, we delivered good performance of 14% total revenue growth and almost 15% diluted adjusted EPS growth. We continued strong performance from our Healthcare business and good performance from our insurance businesses and our emerging businesses in specialized markets. In the second quarter our risk adjustment revenue grew 4.9% after adjusting for the impact of a transfer of some revenue to Decision Analytics beginning in 2012. This growth is a continuation of what you saw in the first quarter and evidence of our sticky customer relationship based on the recognizable value we bring. In Decision Analytics, we grew revenue almost 23% and our insurance solutions in Decision Analytics grew about 9%, a very solid rate given the lower storm activity versus last year. Our Healthcare solutions continued on the organic growth we have seen in the past few quarters growing revenue nearing 37% organically in the quarter. Our total Healthcare revenue growth was over 160% bolstered by the contributions MediConnect has made to our second quarter performance. In Mortgage, we continue to see challenges in the market and our revenue declined due to the declining items of forensic review, but I would note that we continue to grow our underwriting solutions at a faster pace than the 2Q estimates for the origination market. Overall, our consolidated organic revenue growth was 6.4% as we saw both a lighter quarter per storm activity and mortgage continue to weigh on growth. Excluding all historical mortgage business, organic revenue growth was 8.4%. Profitability remained strong with an EBITDA margin of 43.9% in the quarter. We remain disciplined of our use of capital and are focused on delivering shareholder returns. We brought $68 million of shares in the quarter as we mange our buyback as part of our broader capital allocation plan. We continue to be active in looking at M&A but also continue to maintain our discipline, focusing on assets with a true strategic fit, strong financial model and appropriate value in relation to future growth. The first half of 2012 has been solid and met expectations overall. I remain confident that behind the numbers we are doing the right things to position our business for future growth driven by delivering quality solutions to our customers. Now, I'll turn it over to Scott to give you details about our progress in healthcare and other parts of the business.
Scott Stephenson: Thank you, Frank. I'm going to briefly update you on development in several of our business with an emphasis on innovations aimed at our customers' emerging needs and ways in which we are becoming more integral to their operation. First, in the Healthcare vertical three items, the unified platform initiatives is proceeding in the first phase of integrating our payment integrity businesses has been largely completed. We are one month into hosting of large customer on the platform and then our teams are pleased with the results to-date. The efficacy of our real-time edits are increasing materially inside the new platform. In the next phase, we will leave our enterprise analytic solution into the platform as we also transition more customers to the platform. We are pleased to be meeting important milestones on time as we steam towards 2013 completion of the project. Next, we are finding great synergy between our revenue integrity business and MediConnect Business. We have been pitching business jointly and have been energized by the level of wins coming from the combined skill set. And third, we are finding great synergy between our healthcare analytics and the P&C world. Working with the group of PNC carriers, we have now processed $15 billion of work comp claims in order to suppress fraudulent and wasteful ones. We are only getting started and the early result hold great promise. In connection with all the positive momentum we are excited to have recently name Joel Portice as the new President of Verisk Health. Joel had been running our payment accuracy division, which is one of our most highly performing, and where his leadership had led us to considerably higher growth in margin as well as the integration of the unified platform I mentioned earlier. We extend the best wishes as Michael Coyne, our prior president moves on to an emergent health and traumatic company. In a different vertical, I want to highlight some work we have been dealing with our weather and analytics tool as they related to insurers. In late 2011, we announced a solution called AER Respond, which picks our weather data and overlays it on an insurance policy portfolio when a large weather event occurs in order to give them a better estimate, of both how to deploy their resources as well as what type and volume of claims to expect. We have recently been successful in selling this solution to several top tier insurers and have begun to integrate this tool into our Xactimate claims estimating tool and we are excited about this and the general future of repurposing our weather analytics in the commercial uses for insurers as well as into other domains such as the supply chain. The general themes of innovation and repurposing of our intellectual property are very alive across all parts of Verisk and they will continue to be a major part of our growth story going forward. And with that, let me turn it over to Mark to cover our financial results.
Mark Anquillare: Thank Scott. You have put some of the exciting things that are going on in our business and I will share some of the numbers that was a result of those efforts. In the second quarter, we delivered 14% total revenue growth and 6.4% organic revenue growth. Excluding our historical mortgage business, organic growth in the quarter was 8.4%. For the second quarter, our Decision Analytics segment revenue continued to lead with 22.6% revenue growth of which 7.6% was organic excluding the 2011 acquisitions for Bloodhound and HRP, which is Health Risk Partners and the 2012 acquisition of MediConnect, as well as the transferred revenue for the mortgage appraisal tool. As a reminder in 2012, we have transferred revenue related to the mortgage appraisal tools from Risk Assessment's property specific revenue category into Decision Analytics' mortgage and financial services revenue category to reflect a management reporting change. We will continue to provide you with visibility into the apples versus apples comparisons throughout 2012. Within the Decision Analytics our insurance category grew 8.8% in the second quarter for organic. We continued on double digit growth in our catastrophe modeling solutions as we continued to gain customers and also performed well on the catastrophe related products focused on the capital markets. We have been the model of record for all catastrophe bonds issued in 2012. We also experienced strong subscription revenue from our loss quantification solutions, but more moderate growth due to decreased transactional revenue resulting from decreased storm activity in the second quarter of 2012 versus the same period in 2011. Claim solutions delivered respectable growth. I'll note that our acquisition of Aspect Loss Prevention in July of 2012 is under the leadership of our pro-claims and crime analytics group, and we reported in the insurance revenue category within Decision Analytics. The revenue in mortgage and financial services declined 1% as reported in the second quarter and declined 9.9% after adjusting for the transfer of new mortgage appraisal tools from risk assessment into this revenue category. Underwriting tools grew nicely in the quarter and continued to outpace growth in origination markets. Corporate revenue from forensic solutions declined in the quarter as expected offsetting that growth. Our outlook for 2012 for mortgage remains negative as the mortgage markets continues to make it difficult to predict near-term trend for the majority of our solutions, but we remain confident in the long-term value and our relationships with the financial institutions that buy our tools. Healthcare continued strong growth, 160.7% for the second quarter and 36.7% organically, and healthcare organic growth year-to-date has been 34.8%. Our total growth continues to benefit from the addition of Bloodhound and Health Risk Partners, as well as the addition of MediConnect in the second quarter. Just as a reminder for those of you who are looking at sequential revenue dollars, Q1 and Q2 are seasonally lower revenue and margin quarters for our revenue integrity business. And MediConnect follows a similar seasonal pattern. Additionally, starting in third quarter 2012, both the acquisitions of Bloodhound and Health Risk Partners will become a part of our calculation of organic growth. Our specialized markets grew 8.7% in the second quarter, with growth from both our supply chain solutions as well as in weather analytics. Both of these areas are delivering solid growth today, and we are optimistic about the opportunities to broaden their reach. Scott gave you an example of traction we're getting with insurance on our weather analytics and we're actively taking our 3D assets, in addition to our stream event modeling asset, in developing broader strategies around that to serve supply chain. In Risk Assessment, we reported revenue growth of 2.6% in the quarter, and 4.9% after adjusting for the impact of the transfer we discussed earlier. Our industry standard program 6.1% in the quarter reflecting our 2012 invoices and strong growth in our premium leakage solution. If you're looking at sequential revenue growth please note remember 2000, $1 million of license revenue was called out in first quarter that was non-recurring. Our property specific revenue growth, which reported declines of 7.3%, but excluding the transfer grew 1.8%, as new sales and higher volumes from certain customers offset decline from others and the appraisable solutions grew further growth also. EBITDA for the second quarter was $163.8 million as outlined in table 3 of our press release. EBIDTA increased 14% for the quarter and our EBIDTA margin was 43.9% remaining consistent with our margins in the second quarter of 2011. Although actually up if you take into account the $3.0 million benefit of the earn-out liability reduction in 2011, and the greater impact on margin of a full quarter of acquisition they are seasonally lower in the second quarter of 2012. Ex-acquisitions the second quarter of 2012 margins would have been 44.9%. As reported we're down slightly from the 45.9% in the first quarter 2012 due primarily to our annual salary increases from April 1st, and the incremental cost related to April 2012 equity work, and associated accelerated vesting on the payment of eligible retirement age by some employees. In the quarter our risk assessment margins were 52.8% versus 48.6% in second quarter of 2011. We benefited by about 2% on the margin due to lower pension costs related to freeze of plan in February. Also in April, we funded $72 million into the pension bringing it closer to fully funded. Our business continues to show scaled up profitability, but we also to continue to invest in developing new solutions. The margin in Decision Analytics was 38.3% in second quarter 2012 versus 40.4% in second quarter of 2011, and 39.3% in first quarter 2012. In second quarter 2011, we had the benefit to the margin from the reduction in earn out liability of $3.4 million. Excluding the benefit of that reduction, the margin in that period was 38.6%. In second quarter 2012, ex-acquisitions EBITDA margin will exceed 39%. Our interest expense was up $2.5 million versus second quarter 2011 based on higher debt balance related to our acquisitions. We ended the second quarter with total debt of $1.3 billion including the $150 million drawn under our $725 million revolver. Our pro forma debt to EBIDTA ratio as of June 30th was 1.9 times. Our reported effective tax rate was 39.5% for the quarter, which we expect to continue for the rest of 2012. Coming down to the net income line, we focused on adjusted net income, a non-GAAP measure, which we define in the current period as net income plus acquisition related amortization expense, less the income tax effects on that amortization. Our adjusted net income increased 13.7% to $80.6 million for the quarter and adjusted EPS on its fully diluted basis was $0.47, an increase of 14.6%. The average diluted share count was 171.9 million shares in the quarter and on March 31, 2012, our diluted share count was 171.3 million shares. In the quarter, we purchased approximately 1.4 million shares for about $68 million. At quarter end we had about $200 million left under our authorization. Our approach to share repurchases remained focused on limiting dilution and only going beyond that when we believe the share repurchase will deliver appropriate internal rates of return and not crowd out acquisitions. Our share repurchase program has been successful to date generalized annualized IRRs over 25%. Turning to the balance sheet. As of June 30, our cash and cash equivalents were about $97 million. Total debt both short-term and long-term totaled $1.3 billion at June 30 reflecting debt borrowed that fund the MediConnect acquisition which closed on March 30, and after our pension funding of $72 million April. Post MediConnect and pension funding, our debt capacity is about $650 million and will continue to grow with our EBIDTA and free cash flow. As we have stated before, we are willing to temporarily go beyond our long-term target of 2 times debt to EBITDA to take advantage of unique opportunities, particularly on the acquisition side. With that debt capacity available, we continue to look for the right opportunities. Free cash from the first half of 2012, which we define as cash from operations less capital expenditures, was a $149.4 million, a decrease of about $3.3 million or 2.2% versus the first half of 2011. This decline was principally due to the funding of our pension which we have mentioned earlier. Excluding the impact of our pension funding net of tax benefit and timing (inaudible) and other items or free cash was about 18% to the positive. Our capital expenditures were 5.3% of revenue for six months ended June 30, 2012. Free cash flow represented 46.2% of EBITDA in the first six months of 2012 reflecting a reduced conversionary due to the $72 million pension funding partially offset by the tax benefit associated with that. Overall, our business is performing well, and we have a nice mix of growth from multiple vertical and we continue to invest for the future. With that, I will ask the operator to open up the line for questions.
Operator: (Operator Instructions) Your first question comes from Kelly Flynn with Credit Suisse.
Kelly Flynn - Credit Suisse: Great. Thanks for taking my question first. So my question relates to MediConnect and also Bloodhound and HRP. Can you give us more specific sense of what revenue MediConnect contributed to the business in the second quarter? And then also it would be helpful if you could tell us what the year-over-year growth rates were for both MediConnect as well as the Bloodhound and HRP businesses in the second quarter so we can try to figure out hopefully what impact the HRP and Bloodhound might have when they roll into organic? Thanks.
Mark Anquillare: Well, I think what we have seen is nice and solid growth in the standpoint of all of our healthcare acquisitions. We grew in double digits across the board in the first half of 2012 and MediConnect showed strength. As we described at the time of the call on MediConnect, there is a second half seasonal aspect to MediConnect similar to our Health Risk Partners business in that anywhere from 50% for HRP and maybe as much as 70% from MediConnect is more weighted towards the second half. So (inaudible) that gives you a little bit more visibility into where we are.
Kelly Flynn - Credit Suisse: Well, I guess the thing is that I mean the health care business is growing over 30% organically. So, I mean when you say double digit that could be anywhere from you know 10 to 30 for these acquisitions. So, I mean could you give any more help on that? are we talking -- do you think basically when HRP and Bloodhound roll into the organic base, is it likely to have a significant positive impact on the organic growth or should we think about their growth rate is being closer to the corporate organic rate at this point?
Mark Anquillare: Sure, let me try to give up a little bit more on that. I think there is two things that you consider and just remember that I was to look back from the standpoint of healthcare, third quarter we did about $30 million last year and then we had a big step into fourth quarter we did about $38 million. So there is a tougher comp but we feel very good about the continuation of strong organic growth and I think it come into the corporate growth rate there growing faster than the corporate organic growth rate, and that should provide the lift.
Kelly Flynn - Credit Suisse - Analyst: Okay. Thank you.
Operator: Your next question comes from Rayna Kumar with Evercore Partners.
Rayna Kumar - Evercore Partners: Good morning, I am calling in fro David Togut. Can you please talk about the specific factor that throughout the deterioration of mortgage results in the second quarter and do you expect these factors to persist during the next 18 months?
Scott Stephenson: Yeah, this is Scott, I will take that. I mean, as Mark said before, when you think about the different parts of our business, the tools that we sell for purposes of supporting originations were up strongly. And so, the difference in result is a function of the forensic and analysis we do of the loans that are gone bad. And what we are seeing is a variety of movements inside the customer base where there are some customers that have ramped up their volumes but there had been others that have actually ramped down their volume substantially, just particularly in the mortgage insurance world, and that's just a function of market condition in that world. So, that's a trend that we think we'll continue to work its way out in 2012.
Rayna Kumar - Evercore Partners: Okay. And just a follow-up to the previous question, do you think high 30% organic revenue growth in the healthcare vertical is sustainable, and if so why?
Mark Anquillare: I think I tried to answer that before, I mean, I think we feel very good about healthcare. The comps become more challenging as we get towards the end of year. So we still feel very good about the strong double-digit growth. And to extent that we get a little bit more refined there, I think we've been winning customers, but I don't know if we have a very specific view lines dollar and percent growth.
Operator: Your next question is from Eric Boyer with Wells Fargo.
Eric Boyer - Wells Fargo: How much of an impact this, the lower storm activity have on the insurance growth rate within Decision Analytics on the quarter?
Scott Stephenson: It's a little bit difficult to parse because what happens inside of our contracts is this. If we have a customer who has exceeded their minimums and then we start to just basically charge on a transactional basis. In very large parts, it will come to us and we'll renegotiate a higher minimum. So, it's tough to do a direct comparison. But let me just at least give you this. It was definitely a drag in the tune of about 20 bps in the second quarter on overall growth. I think that's the one way we kind of think about it. So, I hope that gives you some clarity. And what we're seeing which is obviously, may be fleeting but we've seen storm activity in July start to return to normal, which I think bodes well, I mean, like any insurance cycle and insurance trends I mean, things are up and down. And I think we saw a very high activity in 2011. We've seen unusually low activity in the first half of '12 and you would think things would start to return to normal.
Eric Boyer - Wells Fargo: So, how should we think about then that insurance piece of the Decision Analytics business going forward? Is that really like a high single-digit revenue grower with upside to that due to whatever has happened with this storm activity?
Scott Stephenson: I just need to clarify, are you talking about insurance as a whole or you're talking about the insurance aspects of Decisions Analytics please?
Eric Boyer - Wells Fargo: Within Decision Analytics?
Scott Stephenson: I think we continue to feel very strong growth there is possible. I mean, I -- we tell you that from the standpoint of insurance inside of DA, we do look at and I will just quickly digress. When, we think about insurance I mean we're servicing a broad set of customers that is a combination of those customers from a risk assessment perspective and we try to cross-sell into Decision Analytics. So, across the board, I think we do feel that that combined is a kind of high single-digit growth. But we do have a view that Decision Analytics where most of that growth is going to be. And we continue to feel strong about the opportunities there both in the second half of the year, as well as into the future.
Operator: Your next question is from Bill Warmington with Raymond James.
Bill Warmington - Raymond James: I want to ask on the mortgage business. When you saw the cross over point was going to come, when the originations business begins to outgrow the forensic piece and also, if you could remind us again what the mix is between the two businesses?
Mark Anquillare: Well, we remained cautions about mortgage to the full year. I think we have said that if we exclude that revenue trends, so we talked about we are down about 7%. I think we mentioned early on the year that that had been and continues to be our forecast of full year. There is a customer that we described for most part that starts to normalize in fourth quarter. But just given the uncertainty inside that market and also the movement in originations which have been strong in the second quarter and subsequently in the future the risk become a little bit cautious about giving too much optimism inside of mortgage for the remainder of the year.
Bill Warmington - Raymond James: Okay. How about the mix, if you can recall it was like two thirds forensic and third origination but that maybe dated now?
Mark Anquillare: Its now about 55% on the backend, it is a little bit greater than that 50% on the year-to-date perspective and that is obviously down from what it was because the forensic has been dropping and the front end has been increasing.
Bill Warmington - Raymond James: Okay. And then, I wanted to ask also, if you could give some additional color on how you are integrating MediConnect into revenue integrity and also for the HEDIS with enterprise analytics?
Frank Coyne: Yeah, good. So, the HEDIS part of our business actually formally reports into the MediConnect structure. So, and we actually did that almost contemporaneous with the acquisition because the overlaps are just so obvious and so great and that is really -- that is working very well.
Bill Warmington - Raymond James: Good.
Frank Coyne: And then, the connection of that set of capability, so starts retrieval and abstraction plus HEDIS, there is a very tight working relationship really at the level of the account, because when we are selling into the individual account you actually need to present the chart retrieval and abstraction solution at the same time as you present the HDC analytics and the five star analytics and that is what, all of that is part of the bundle that many customers are buying and so, we actually need to line all that up on a customer-by-customer basis when we're actually going to market. And so we're well along on that also. And really conceptually all of that, everything you just asked about, Bill, it is in our minds, one integrated business and we just continue more and more to move in the direction of operating it exactly in that way.
Bill Warmington - Raymond James: Okay. And the last question I just wanted to ask about how exactly are you doing on a standalone basis with the XactContents module, and any thoughts on the European expansion?
Frank Coyne: XactContents continues to grow well and its growth rate is outpacing the growth rate of the market. It's one of the more highly growing parts of the Xactware portfolio. We feel the market is coming in the direction of our solutions. There is -- just for little color, there is a lot of working on content, which is very labor intense, and that's not our method. It's we're doing it the Verisk way build it once and sell it many, many times. And the market seems to be coming to that. And in Europe we continue to make very steady progress. We've actually with one customer leaped across the English Channel into Mainland Europe, and we're very happy about that and we just continue to expect more and more growth throughout Europe. And we're actually looking at other geographies as well. It's a tool, which is extensible, and what paces that primarily actually is the availability of enough local data in order to have relatively good cost factors inside the mall.
Operator: Your next question is from Andrew Steinerman with JPMorgan.
Andrew Steinerman - JPMorgan: I want to ask about the P&C insurance industry. Obviously premiums were rising in 2011 to help your 2013 risk assessment growth. I wanted to go further to say when the P&C insurance industry is doing better should it just lift your Decision Analytics insurance piece through request are in other products and if so, what would be the timing of any DA lift that you get from the insurance industry?
Frank Coyne: I mean, yes, you're generally on the right path. But I guess what I want to just emphasize is the degree of one-to-one coupling of those two factors. There is a lot that goes on inside of our customers' consideration of our solutions. And the primary point is that every one of our DA solutions is going to get highly, highly scrutinized before it's purchased. I mean, our customers are very sober minded, risk bearing entities, and they usually we go through a proof of concept. And so, at the end of the day, their decision to buy a Decision Analytics solution is really based upon the value of that -- of that solution. It is true that if their results overall are stronger at the margin, I would say, their willingness to think about purchasing our new solutions that probably goes up somewhat but I really want to caution against you thinking that it’s a one for one correspondence because it just doesn’t work that way. The sales cycles are long and the considerations are very technical when they look at minor products. But yes, on balance, it is actually helpful.
Andrew Steinerman - JPMorgan: I was asking about given the sales cycle that you just talked which are probably shorter when the P&C is doing better, when and how long do you think it will take to see benefit in your DA insurance segment for just the factor that the P&C insurance industry has been doing better for over a year now?
Frank Coyne: Well, again, I don’t actually think the decision -- your premise is the one that we actually don’t share. So, I don’t think that the coupling is as tight as maybe you're suggesting it in your question, but I would say that there are long smooth cycles inside of the insurance industry and I think the industry itself sort of observes changing behavior relatively slowly. So, you should think in terms of sort of cycle thing out, it’s over a couple of years basically. And I again, the Decision Analytics decision making cycle is not really going to be respond all that strongly or all that quickly to what's going on inside of the industry overall. (inaudible). We're very optimistic about getting our solutions sold.
Andrew Steinerman - JPMorgan: How long is a typical sales cycle to cross over new DA solution to insurance company?
Frank Coyne: 18 months would probably be a good midpoint.
Operator: Your next question is from the line of Suzanne Stein with Morgan Stanley.
Suzanne Stein - Morgan Stanley: Have you disclosed the cost of the new healthcare platform, and can you just talk about how significant this could be from the cost side? And this in terms of future margin?
Frank Coyne: Sure. Suzy, I think we've described that we were talking about -- we call that two major initiatives that were taking place specifically around 2012 and it was the combination of the unified platform which is the healthcare platform in combination with our next generation platform which is the catastrophe modeling platform. Now, what we said was the two combined for '12, we're targeting towards about $10 million. Now, I think your question as I heard it was really more focused the impact of margin. So, when we talk about the $10 million a majority of that is programming cost. So, as a result that is capitalized, it becomes a part of the CapEx. As a part of the overall initiative, clearly there is a lot of cost associated with modelers and scientists to help with the catastrophe modeling science, but a good chunk of our investment in ‘12 is going to be CapEx and I would tell you that as we think about 2013 it may become a little bit more period cost but not that dramatic. I don’t think it’s going to affect margins in too negative or material way.
Suzanne Stein - Morgan Stanley: Okay, I guess that was very helpful the question is also should that drive margin improvement in longer term? I mean is that for cost efficiency over the long run?
Scott Stephenson: I'm going to go back and forth, this is Scott. the answer is I think the opportunity there is to create a more robust platform and on the healthcare side it could become more efficient but the reality is we are doing this to drive top line growth. I mean it is the ability to bring solutions together to make it easier for customers to buy and make user experience more pleasing and that has been kind of a lot of the focus of these two initiatives.
Suzanne Stein - Morgan Stanley: Okay, great then just a quick one on share buybacks. You've done a great job of returning capital to shareholders. Do you think this will continue at a similar pace going forward?
Frank Coyne: Well as I think we have always said I mean we have a view that we are really trying to create shareholder return our first and primary focus is to invest in the business. So the extent that we have opportunities around the acquisition front that would be our primary first use of capital and then we will continue to do buybacks to eliminate dilution. Extending beyond dilution and returning additional capital beyond that it’s really a balancing act. We try to take a look at little bit about the pipeline we want to make sure we have enough capacity to continue to execute on that growth strategy. So, I think what you have seen over the last couple of quarters is a little bit of a dialing back because of the actual acquisition activity that we have had.
Operator: Your next question is from Manav Patnaik with Barclays.
Manav Patnaik - Barclays: Just a quick question on the international aspect. Could you tell us what the mix now is for international and, I think Scott mentioned, you are seeing some pretty growth there, I understand is coming off a smaller base, but are we talking about high double digit? So what sort of growth are we seeing there?
Frank Coyne: You got to bear in mind the base is very small, I mean, we really got only two businesses at the moment that have material international footprints. And so, inside of our revenue overall non-domestic might be about 5% or something like that. So the rates of growth are good but you are coming off from a very small base. This is a long March for Verisk.
Manav Patnaik - Barclays: Yeah, correct, okay, fair enough. And then just from a strategic standpoint I guess in the mortgage division is the, obviously you have strong set of underwriting tools and you have, like you said, customer issue on the forensic side, but is this strategy that sort of just stick with the tools and ride out the storm per se or is that thought or opportunity around acquiring volume and market share and maybe bulking up that unit a bit?
Frank Coyne: That is not where our thinking goes at this time, so the acquiring and bulking up. We do remain very interested in other forms of solution inside of the commercial banking industry, I mean, that is definitely in mind. But when you look at the mortgage vertical itself we have a very complete set of solutions. And we are continuing to try to make them better and we do believe that in normalized market conditions we would have a very nice business.
Manav Patnaik - Barclays: So I guess to follow on that could you give us some idea of I guess, the other solution as you just referred to in the commercial banking industry and would that be sort of innovation coming from internally or would you need to acquire something?
Frank Coyne: Well, we are not really talking about our plans specifically in that area and as always we remain open to developing things internally and building our platform through acquisition.
Manav Patnaik - Barclays: And last question just for Mark. In terms of the Aspect Loss that acquisition. I mean. I know this is really small, should we see or should we be modeling any sort of contribution benefit from that deal?
Mark Anquillare: I just want to describe to you that it is really very much a tuck-in acquisition to a business that is it is small but growing inside of Verisk as a whole. It is just not going to hit the (inaudible) or make any dramatic impact on revenue that you can consider.
Operator: Your next question is from James Friedman with SIG.
James Friedman - SIG: Hi, thanks for taking my question. I wasn’t sure if it was Mark or Scott who was speaking, but with regard to the healthcare client that you mentioned that's coming on board in the second half how does the revenue recognition work on that?
Scott Stephenson: Hi. Do you want to take it, Mark?
Mark Anquillare: Yeah, just you'd appreciate what we are talking about was we are moving one large customer who is a pretty broad based customer, we are moving from our existing solution to our new unified platform. That is kind of a test customer. So, from a revenue recognition perspective we are providing the same set of solutions, same set of services, we are continuing to roll out maybe some additional analytics because of the new platform, but the reality is the revenue reckoned does not change it is the same customer providing and we are providing a maybe more complete set but same set of our solutions.
James Friedman - SIG: I was just trying to figure out had there been any expenses that weren't offset by revenue at this stage in the customer's adoption?
Mark Anquillare: I think there has been cost to the overall unified platform but as most of that has been capitalized, so I don’t think you can see a blip in any margin calculation that I think I tried to highlight that to Suzy so.
James Friedman - SIG: And then in addition, Mark, you had mentioned there was 20 bps, which is really helpful of impact in the insurance decision. I just want to make sure I got the denominator right. Was that 20 bps on the insurance Decision Analytics or was that on the Decision Analytics or was that on the company overall?
Mark Anquillare: Sure. So, it is on the company overall and it is about 20 to 30 bps, yes.
James Friedman - SIG: Got you. Yeah, that's a helpful number. And then, lastly, it seem like the repurchase though substantial was slightly less than the east, let me get my language right, the KSOP, so you actually had a slight increase in the share account. Is there anything to read into that or is that just a function f when the shares come on?
Mark Anquillare: Let me just remind everybody about the KSOP. The KSOP in a majority of the expense was accelerated at the time of the IPO. So we probably went it at and too much down for some investors, but that’s in large part behind it, I will come back in a minute. But all you see right now is a reserve as it relates to the KSOP is the 401K match component. So really the only thing you should be seeing is maybe MediConnect coming in there, because this is a 401K match of those employees, but the reality is it should be pretty consistent and it's consistent with kind of how we match our employees contribution to that program. The other thing that I will just highlight is the way these SOPK is handled is that we need to take all those shares and pass them along to participants by the end of 2013, so it is depended up on what the value of the shares are and how many shares are left. There could be, as we always talked about, some 2013 events that would be a non-cash one time type of item to end the ESOP plan. If you are looking broadly at our share count, and I am just trying to interpret some of your question, there were and continue to be option exercises associated with our long term incentive plans and maybe the option exercised and then number of shares coming out exceeded the buybacks we did in the quarter. So, there was may be some dilution. We try to handle that over the long term, not quarter by quarter.
Operator: Your next question from Jennifer Huang with UBS.
Jennifer Huang - UBS: Hi, thanks for taking the question. Did you guys talk about the sales implementation cycle being I guess the 18 months for the -- on the insurance side. Can you talk about that on the health care side? And in terms of the revenue growth as we have seen in health care with inside on those revenues open products that were sold, so part of the solutions that were several quarters ago, so can you just talk about the pipeline in terms of sales and implementation currently and how that compares to may be a year ago?
Frank Coyne: Yeah, well, the pipeline is stronger than it was a year ago if for no other reason that we have more solutions. And so, when -- we actually grid it out where we look at each customer and we look at which parts of our suite they buy and don’t buy. And relative to last year there is actually more white space on that grid because the solution sets are expanded even though there are -- we have filled in some of the customers on that same grid. So that definitely the sense of opportunity in the market is greater. The sale cycles vary in healthcare depending up on which part of the solution mix that we are talking about. So, when we talk about revenue integrity, those solutions actually tend to be on somewhat faster sale cycles. There are also I would say among the things that we do they have some of the most easily quantified value propositions. There is just a great urgency about getting the revenue integrity calculations right because reimbursement from Medicare, for example, literally hinges upon it, and it all occurs within the calendar year. So there is actually a genuine push on the part of the customers to get into those solutions, and I would embrace the MediConnect solutions inside of that. At the other end of the spectrum would probably be the medical intelligence analytics that we sell which are very useful for getting things like actuarial calculations correct and reserving right, etc, but those tend to sort of slightly less urgently felt sorts of the needs. And then -- so, I would say the sales cycles are longest there and probably in the 18 month plus range. And then somewhere in the middle would be our payment accuracy solution where the value for opposition is strong and quantifiable, but the amount of integration that’s required is a little bit greater and so it just tends to pace things a little bit more.
Jennifer Huang - UBS: Okay. And that's very helpful. And then I know there is still uncertainties out there around the healthcare reform --
Frank Coyne: Yeah.
Jennifer Huang - UBS: But as it stands today, I guess how do you think that -- how that impacts the healthcare business?
Frank Coyne: It really doesn’t have a lot of impact. I mean, you have to go back to the basic fast that most of our businesses with payors and the net effect of the healthcare reform would due to have more people on private or formal insurance system which on balance would just expand the size of that and so was sort of a moderate part -- a benign moderately positive basically. I would also say I think that the that there is also inside of the overall reform the government is putting a little bit more emphasis on using data analytics and emphasizing things like matching cost and quality outcomes. And those are all good for us because anybody who just get more thoughtful about how to run healthcare is going to naturally be more interested in the kind of things that we do.
Operator: Your next question is from Bill Cork with KBW.
Bill Cork - KBW: Good morning, just wanted to go back to the expense side. Sequentially, I think you had the impact of the equity awards this quarter. Year-over-year you still have the comp increases and I think also this quarter you had some impact from the pension freeze. Just trying to get a sense of where Q2 is from a run rate perspective and where we could expect the second half of the year to kind of shake out?
Mark Anquillare: So I mean let me just kind of reiterate I think what you said. So, if I was to look at the second quarter and look at it solely you know, the salary increases that were in will remain for remainder of the year. So, I don’t think you would adjust for anything there. The items that I will call out is inside of the margins we have a long term incentive with the equity compensation because of the way claim participants who are aged 62 vest we do have an acceleration in the second quarter. That’s about $4 to $4.5 million that affected the quarter and that will kind of normalize out for the remainder of the year. So, that’s something you should probably think about. Pension, I think you would probably expect that to just continue with what you saw first half. And we did also mention that the acquisitions are a little bit seasonal. So, the margins in the first half of the year are little bit lighter than what we will see in the second half. So that’s a bit of a positive in the second half as you think about margins overall.
Operator: And we have a follow up question from Kelly Flynn with Credit Suisse.
Kelly Flynn - Credit Suisse: Thanks just a couple of quick follow ups. First on the mortgage business, I know you said you expected to be weak for rest of the year but I was hoping you can help us work through how we should think about the tougher comp that the business had in this quarter and kind of should that lead to an improvement in the growth rate all else equal in the third and fourth quarter? So why was the comp down if you could remind us and what impact did that have in the back half growth rate?
Mark Anquillare: I think we have always we said right from the beginning of the year is that we are targeting sometimes somewhere around 7% decline for the full year. And I think what we view right now is we don’t think we have enough information to change that view. From a comp perspective, we talked about a customer that has been kind of moving back to a more normalized level of forensic review that I think we saw more or less normalizing in the fourth quarter of this year. And the other thing that I highlighted was that what helped us in the first half was a kind of a pretty rich mortgage origination environment which was rather positive and I am not sure if the NBA and others expect that to continue for the second half and that works against us. So those are the things that like factoring just some of our thinking. Obviously, I talked about the macro factors. At the same time, I mean, I think we have a view that we are still winning customers and we are making progress both on the front end and call out on the back end. So, all of that is, bodes well for the future but I want to be cautious about where we are today.
Kelly Flynn - Credit Suisse: Okay, but it grew, I think it grew a percent in the second quarter of 2011 and I understand you had a customer kind of rolling off but that was a much better growth rate than any other quarter in the year. Was there anything else going on there that made for that especially strong growth rate in the second quarter of ’11?
Mark Anquillare: Well, I do know that the second quarter of ’11 we were talking about that one customer, they did a lot of volume with us in that quarter.
Kelly Flynn - Credit Suisse: Okay, so was that one customer okay, got it. And then just another question on the insurance part of Decision Analytics. I think clearly you guys have called out Xactware and some of the weather comps there, but could you give us a little more detail on the other businesses and I would ask it this way. Which businesses are seeing accelerating growth in line item, and which ones are decelerating aside from Xactware?
Mark Anquillare: Want to talk a little bit about cash remodeling and kind of I think that will probably our strongest --
Frank Coyne: Yeah. So I think, we have -- well, first of all, don’t overlook the fact that inside of Xactware there is actually a variety of things that get done. And some of them are related to claims and some of them are related to underwriting some of them are domestic and some of them are overseas. And so you don’t have to pick Xactware part. And the growth rate associated with that bundle of thing would have been materially different if storm activity had been equivalent in 2012 to what it was in 2011. So just that background. Other things that are going on inside of the insurance DA mix, two things I would particularly highlight. One would be catastrophe modeling Mark talked about us literally sweeping the board in terms of all the capons issued in 2012 which we actually think of as the purest test of the quality of the science inside of the model. And so, we find that a really encouraging result. Basically, there are still a lot of parallel country combinations to be modeled. And we find that the market is very open to our solutions. And all of that just compounds inside of the work we are doing, that create a new platform for serving up the models to get them even more inline with the customers workflows. That will be one thing that I would point out. Another thing I would point out is underwriting. As you know, we created an underwriting unit at the beginning of this year and its growth rate is very strong, it is greater than the growth rate of Decision Analytics overall. And as we access where we sit in the P&C world, strengthening our underwriting solutions and our position is on of our biggest opportunity. It is actually, that we are so strong in claims, we are so strong in catastrophe modeling, we are so strong in rating but underwriting is something where underwriting not rating is a place where we can still definitely gain altitude. And so far in 2012 as well, the results have been good.
Operator: And your next question comes from Tim Mchugh with William Blair.
Tim Mchugh - William Blair: Just following up for the previous question. I want to ask a similar question about healthcare. If you can just talk about the different service lines or product lines, there they all seem to be doing well, but is there any one of them that is doing particularly better or worse relative to the others?
Frank Coyne: I mean basically, so just to kind of clarify what we do. First of all, you can really put it -- we put it in the four buckets. So, there is what we call enterprise analytics, which is the variety of medical intelligence products which are aimed at things like risk adjusting and risks scoring individual members of a population. We have also got our enterprise intelligence, which is basically the OLAP platform through which a plan can consume the analytics and apply them to their decisioning. Then, we have got payment accuracy, which is coming through claims flows in order to basically clean those claims flows, find the one the claims that are suspicious and then take them through some clinical review in order to present a very clean view of the claim. And we supplemented that with what we did what we are now doing with our colleagues at Bloodhound, where in addition to that sort of retrospective -- I shouldn’t say retrospective, later in the process analysis as we can also deal with the claims even before they are adjudicated inside of the claim system. That is the second thing. Third thing is what we call revenue integrity, which is essentially helping our customers with their own reimbursement. So, I mentioned before, HCC analytics for Medicare Advantage reimbursement. And more generally, five star kinds of analytics that also relate to Medicare reimbursement. So that is revenue integrity. And then, the fourth thing we do is, it is under the banner of MediConnect and its chart retrieval and abstraction. So, it's getting the clinical data so that you can analyze it. The first order use of that data actually is inside the things like HEDIS calculations, as well as the revenue integrity work that I just described. So, those are the four big buckets. And they are all doing well actually and I think that is really the message here. But I would say that probably, at the moment at least, we are getting a little bit more gross from chart retrieval abstraction and the revenue integrity set of things but that is detail underneath the general and/or of that we're well-positioned, its kind of everywhere really.
Tim Mchugh - William Blair: Okay. And the workers comp opportunity that you are seeing in terms of the synergy between the P&C and MediConnect.
Frank Coyne: Right.
Tim Mchugh - William Blair: Where, is that in the healthcare business or you are coming at that from the insurance platform?
Frank Coyne: That the revenue gets recognized in the payment accuracy part of the healthcare business. With a bigger assist from our P&C colleagues. We are working on claims on the P&C side.
Operator: Thank you. I would now turn the call back over Frank Coyne for any closing remark.
Frank Coyne: Yes. Well, thank you very much for joining us on second quarter results and I would like to thank you for your interest and your questions. And we look forward to well speaking with you again next quarter. Have a good day.
Operator: Thank you for participating in today's conference call. You may disconnect at this time.